Takeshi Horikoshi: This is Horikoshi, the CFO. I will go through the overview of the business results for Q3 fiscal 2024. On page 4 are highlights for Q3 on a three-month basis. Exchange rates were ¥148.8 to the dollar; ¥161.4 to the euro; and ¥99 to the Australian dollar. Year-on-year the yen strengthened against the dollar but weakened against the euro and Australian dollar. Net sales increased by 1.8% year-on-year to ¥989.2 billion and operating income increased by 4% to ¥162.6 billion. The operating income ratio went up by 0.3 points to 16.4%. Net income increased by 9.7% to ¥108.3 billion. Net sales and net income were third quarter record highs. Segment profit, operating income and the operating income ratio were the highest ever for a quarter. On page 5, I will go through segment sales and profits for Q3 on a three-month basis. Sales of Construction, Mining & Utility Equipment were ¥918.2 billion, broadly flat from the corresponding period a year ago. Segment profits decreased by 1.4% to ¥147 billion and the segment profit ratio went down by 0.2 points to 16%. Retail Finance sales increased by 11.1% year-on-year to ¥30.2 billion, and segment profits increased by 22.3% to ¥7 billion. Industrial Machinery & Others net sales increased by 7.5% year-on-year to ¥49.9 billion and segment profit increased by about 5.7 times year-on-year to ¥7.3 billion. I will explain the factors behind the changes in each segment later. Page 6 shows the sales by region in the Construction, Mining & Utility Equipment segment for the three months of Q3. Net sales in the Construction, Mining & Utility Equipment segment increased by 1.3% year-on-year to ¥916.1 billion. By region, sales increased in Oceania, where sales of mining equipment increased and in Asia where demand recovered in Indonesia but decreased in the Middle East, Africa, Japan and other regions. Page 7 shows the highlights for fiscal 2024 Q3 on a nine-month basis. The exchange rates were ¥152.2 to the dollar; ¥164.8 to the euro; and ¥100.8 to the Australian dollar. Year-over-year, the yen weakened against the US dollar, euro and Australian dollar. Net sales increased by 5.8% year-on-year to ¥2,957.3 billion and operating income increased by 2.8% to ¥466.1 billion. The operating income ratio decreased by 0.4 points to 15.8%. Net income increased by 1.9% to ¥310.1 billion. Net sales segment income operating income and net income were record highs for Q3 on a cumulative basis. And also, for the Noto reconstruction, we have been providing our equipment free of use. On a cumulative basis the impact has been ¥1.2 billion as a result. On page 8, I will explain the net sales and income for each segment for Q3 on a nine-month basis. Sales of Construction, Mining & Utility Equipment increased by 4.7% year-on-year to ¥2,748.4 billion while segment profit decreased by 1.1% to ¥425 billion and the segment profit ratio decreased by 0.9 points to 15.5%. Retail Finance sales increased by 23.2% year-on-year to ¥92 billion and segment profit increased by 16.6% to JPY21.8 billion. Sales of industrial Machinery & Others increased by 11.6% year-on-year to JPY146.7 billion and segment profit increased by approximately 2.6 times year-on-year to JPY15.1 billion. I'll explain the factors behind the changes in each segment later. Page 9, shows sales by region in the Construction, Mining & Utility equipment segment for Q3 nine months year-to-date. Net sales of Construction, Mining & Utility equipment increased 5.1% year-on-year to JPY2740.6 billion. By region net sales increased in North America, Latin America and Oceania, while they decreased in Europe, Japan and the Middle East. Of the regions where sales increased, sales in North America, Latin America, CIS and Africa decreased on a constant currency basis. Page 10, shows the factors behind the increase or decrease in net sales and segment income of the Construction, Mining & Utility equipment segment in Q3 and nine months year-to-date. Net sales increased by JPY122.6 billion from the same period of the previous year, as a positive impact of weaker yen and improved selling prices outweighed the negative impact of decrease in volume. Segment income decreased by JPY4.9 billion from the same period of the previous year, due to the negative impact of lower volume, higher cost of goods sold and fixed costs and the negative impact on mix despite the positive impact of weaker yen and sales price improvement. Segment profit margin declined 0.9 percentage points from the same period last year to 15.5%. Page 11, shows the status of retail finance for Q3 and nine months year-to-date. Assets increased from the end of the previous fiscal year, due to an increase in new contracts and the effect of weaker yen at the end of the period under review compared to the end of the previous fiscal year. New contracts increased year-on-year, mainly due to the impact of yen depreciation. Net sales increased by JPY17.3 billion year-on-year to JPY92 billion, mainly due to higher interest rates received the positive impact of yen depreciation and an increase in financing receivables. Segment income increased JPY3.1 billion to JPY21.8 billion. Page 12, shows sales and segment income of the Industrial Machinery & Others segment for Q3 nine months year-to-date. Net sales increased 11.6% year-on-year to JPY146.7 billion. Segment income was JPY15.1 billion, up 2.6 times approximately from the same period last year and segment profit margin rose 6 percentage points to 10.3%. In the Automotive Industry, sales of large presses and machine tools increased. And in semiconductor industry, maintenance sales of Excimer lasers recovered pushing up our net sales and profits. I'll explain now, the consolidated balance sheet on page 13. Total assets were JPY5,919.2 billion an increase of JPY282.6 billion from the end of the previous fiscal year, mainly due to an increase in working capital and the impact of yen depreciation at the end of the current period compared to the end of the previous fiscal year. Inventories increased by JPY126.9 billion from the end of the previous fiscal year, because of impact of weaker yen and increase in inventories for mining equipment. Shareholders' equity ratio decreased by one percentage point from the end of the previous fiscal year to 52.8%. The acquisition of treasury stock, which was resolved at the Board of Directors' meeting held on April 26, 2024, was completed by August 8, 2024 amounting to JPY100 billion. In addition, the company completed the acquisition of JPY100 billion worth of its own shares by August 8, 2024. On October 30, 2024, we canceled the 22,857,500 shares acquired this time. This is equivalent to 2.35% of the total number of shares issued, and outstanding before the cancelation. Net D/E ratio is 0.31. This concludes my part. Next Mr. Hishinuma will talk about the projections for fiscal 2024.
Kiyoshi Hishinuma: I am Hishinuma, General Manager of the Business Coordination Department. I will explain the projection for fiscal 2024 and the conditions in major markets. Page 15 is an outline of the projection for fiscal 2024. The projection for fiscal 2024 has not changed from the October outlook. From page 16 I'll go through the demand trends and outlook for the seven major products. Demand trends for the seven major products inclusive of mining equipment are shown here. Fiscal 2024 Q3 numbers are preliminary estimates by our company. It appears that demand in fiscal 2024 Q3 decreased by 2% year-on-year. The demand forecast for fiscal 2024 is unchanged from the October forecast with a decrease of 5% to 10% year-on-year. The subsequent pages explain the conditions in the major markets. Page 17 shows the demand trends and forecasts for the Japanese market. Demand of fiscal 2024 Q3 apparently decreased by 12% year-on-year mainly due to decreased demand in rental. Fiscal 2024 full-year demand has been revised down from the October forecast to 0% to minus 5% year-on-year. Page 18 shows the demand trends and outlook for the North American market. Demand of fiscal 2024 Q3 apparently increased by 3% year-on-year. Although demand for rental and energy decreased demand for infrastructure remained steady. The full year demand forecast for fiscal 2024 has been revised from the October forecast and is now expected to be minus 5% to minus 10% year-on-year. With the inauguration of the second Trump administration in January, we will continue to monitor impact on demand of future policies. Page 19 shows the trend and outlook for demand in Europe. Demand in fiscal 2024 Q3 appears to have decreased by 20% year-on-year. Demand for construction equipment decreased mainly in major markets such as Germany, the UK and France. The demand forecast for fiscal 2024 on a full year basis is minus 10% to minus 15% year-on-year with no change from the October outlook. In Europe interest rates have been cut continuously since June last year but there are no signs of a recovery in business confidence or demand. The political situation across countries are also in a turmoil and we will continue to monitor future developments. Page 20 shows the demand trends and forecasts for the Chinese market. This page shows the trend of demand for hydraulic excavators excluding many excavators. For reference, the trend of demand inclusive of Chinese manufacturers are also presented here. The growth rate in demand shows the figures for foreign manufacturers. It appears that demand in Q3 of fiscal 2024 increased by 26% compared to the same period last year. In addition it appears that total demand including Chinese manufacturers increased by 21% compared to the same period last year. The forecast for demand for the full year of fiscal 2024 has been revised from the October forecast and is now expected to be plus 10% to plus 20% year-on-year. The forecast for total demand including Chinese manufacturers is also expected to be plus 10% to plus 20% year-on-year and this has not changed from the October forecast. Although there has been a reversal in demand there has been no change in the situation of stagnant economic activity due to factors such as a slump in the real estate market and we'll continue to monitor the situation. Page 21 shows the demand trends and outlook of the Southeast Asian market. Demand in Q3 of fiscal 2024 appears to have increased by 16% year-on-year. In Indonesia, the largest market demand for general construction equipment has recovered since Q2 and is currently exceeding the same period last year. In addition coal prices in Indonesia have remained firm and the outlook for demand for mining equipment is expected to be the same as the previous year for the full year. The outlook for demand in fiscal 2024 is unchanged from the forecast in October with a year-on-year change of 0% to 5%. Page 22, highlights the trend and outlook of prices of major minerals related to demand for mining equipment. Although prices of major minerals have been fluctuating, they have remained at high-levels over the long-term. Page 23, shows the trending demand of mining equipment. The demand for mining equipment in Q3 of FY 2024 is estimated to have increased by 3% year-on-year. FY 2024 annual demand forecast is unchanged from the October forecast, ranging from 0% to negative 5% year-over-year. Page 24, shows net sales of mining equipment. Net sales for Q3 of FY 2024 were JPY452.8 billion, up 4% over the same period last year. Stripping out the impact of foreign exchange rate fluctuation sales increased 4%. The sales forecast for FY 2024 is unchanged from the October forecast of the JPY1845.7 billion up 7% over the previous year. Page 25, shows the forecast of sales of equipment parts services et cetera in the Construction, Mining & Utility Equipment segment. Parts sales for Q3 FY 2024 were JPY250.2 billion up 5%, from the same period of the previous year. The ratio of total aftermarket sales including services was 51% and total after-market sales excluding the effect of exchange rate fluctuations were up 2% year-on-year. The annual parts sales forecast for FY 2024 remains unchanged from the October forecast of JPY1024.1 billion up 5% over the previous year. The ratio of aftermarket sales to total sales including services is expected to be 51%. Now, I'll walk you through the topics for Q3 on page 37 and beyond. Page 37, and page 38, PC200i-12 will be explained over the two pages. Komatsu has fully remodeled its mainstay 20-ton class hydraulic excavator and launched a new generation model PC200i-12 with 3D machine guidance as default standard equipment in Japan on December 1. As 3D construction at construction sites continues to spread and expand the PC200i-12 equips 3D machine guidance, as standard and helps operator navigate utilizing 3D data. In addition, the 3D machine control function which automatically controls construction equipment with 3D data can be selected and put into practice according to the customers' preference. Page 38. The most important feature of the PC200i-12 is that, 3D machine control is an available option, allowing customers to choose a plan which best suits their needs. In addition, the PC200i-12 incorporates a variety of industry-first features related to operator workload reduction and safety such as auto swing, 3D boundary control and collision detection braking system. One more highlight the new four-cylinder engine delivers both increased engine power and significantly reduced fuel consumption. The payload function which visualizes the amount comes as a standard, equipment significantly improving work efficiency. We can cut maintenance costs by improving maintainability. In addition to Japan market, the new system is expected to be available in North America, Europe, Australia and other markets in FY 2025. Komatsu will standardize 3D construction with a new model. Page 39. Komatsu exhibited for the first time at CES 2025 the world's largest technology trade show held in Las Vegas from January 7 to 10. Komatsu introduced construction equipment that can be used in extreme environments such as on the moon surface underwater as well as the technological innovation to become carbon neutral by 2050. The exhibition attracted a large number of visitors and attracted attention from various media, both inside and outside of Japan, providing a good opportunity to communicate Komatsu's initiatives. We are looking forward to next Komatsu exhibition in Osaka Kansai World Expo, which will start on April 13. We will jointly exhibit with Aoki Asunaro Construction under the theme of underwater construction in the future and introduce our underwater construction robots. We are looking forward to seeing you. That's all from me.
Operator: Now, we would like to take any questions that you may have. From UBS, Mr. Sasaki.
Tsubasa Sasaki: Do you hear me? This is Sasaki from UBS Securities.
Operator: Yes, we do. Please go ahead.
Tsubasa Sasaki: I have two questions. The first one is about a review about Q3. I do believe your results were pretty good, and you were able to see good progress against your company plan as well. So compared to your assumptions -- I'm sure there's various factors like volume and FX. So can you talk about what was good, relatively better or worse and summarize overall? Thank you.
Takeshi Horikoshi: This is Horikoshi speaking. Thank you for your question. Please wait a moment. So for Q3, regarding sales, it was JPY 5.5 billion higher than plan. As you know, compared to the outlook as of October, we were estimating JPY 140 to the dollar FX rate wise, but it was JPY 148.8. Therefore, FX impact was JPY 53.8 billion. And for volume, it was under short of plan by JPY 47 billion. And for selling prices, there was a JPY 1 billion shortage compared to plan. So that was for sales. As for profit for volume or FX, first of all, the positive impact was JPY 16 billion because of the difference between our assumption and the actuals. And also the volume of JPY 47 billion, the impact of sales on sales for profit was JPY 17 billion short of our plan from a profit point of view. And mix-wise, the positive impact was JPY 10 billion above expectations. This is due to mining equipment and parts, high SBM ratio, products sold well and also the mix of parts was relatively higher. Also, KMC, the aftermarket ratio was relatively high as well. That is why there has been a difference in the mix side of things. And for selling prices, it was a negative factor of JPY 1 billion. And for production cost and fixed cost, it was better than expectation by approximately JPY 4 billion. So in total, we were greater than planned by approximately JPY 12 billion. The JPY 47 billion shortage in sales that I mentioned earlier, if you divide this into construction and mining equipment, for construction, it was JPY 12 billion lower. And for mining, it was JPY 35 billion lower than planned. The JPY 12 billion for construction equipment, due to poor demand, the impact was about JPY 3 billion and JPY 9 billion was pushed out into the second half. And for the shortfall, Europe was worse than planned. And for Japan, for broad-based rental and rental overall, the performance was worse than expected. Positives were North America, first of all, demand was stronger than expected. On the other hand, distributor inventory reduction was steady as well. So on a net basis, it was minus JPY 3 billion. And for JPY9 billion that's probably a push out into fourth quarter, we presume. For mining equipment, there was a shortfall of JPY35 billion, out of which approximately due to demand decline or due to deals that were pushed out due to customer reasons that was about JPY15 billion in impact. And from Q4 onwards, there were some pushouts worth about JPY20 billion that has been pushed out into fourth quarter and beyond.
Tsubasa Sasaki: That was very clear. Thank you. Just an additional question. I always ask about the volume of product mix. On page 10, the breakdown can you walk me through that as well?
Takeshi Horikoshi: For volume product mix, et cetera, out of the JPY58.7 billion. Right?
Tsubasa Sasaki: Yes.
Takeshi Horikoshi: Pure volume difference is JPY35 billion and regional mix and product mix impact was JPY16.2 billion negative. And for the rest the minus impact was about JPY7.5 billion, in the first half of the year. The mix in others was pretty substantial. And I was saying for first half that the mix difference was JPY21.9 billion and now it's JPY16.2 billion for Q3, so we're getting more positive impact. And for other losses, we didn't see that kind of loss be incurred in Q3.
Tsubasa Sasaki: Got it. Thank you very much. My second question is about Hishinuma-san's part. The assumptions for construction equipment demand has been revised. Especially, for the US and China, you have revised it upwards. Whilst you revised it downwards for Japan, for each region, what was different compared to your original assumptions? Can you give me a more detailed reason, why you changed your outlook? That was my second question.
Kiyoshi Hishinuma: This is Hishinuma, speaking. First, for North America, for rental, it has started to go down since the second half of last year and this kind of trend has not changed. Rental already has been falling, since last year so on a year-over-year basis, the drop-off is not as big as we saw in first half. For the fourth quarter, likewise, the rental demand was already down last year, so even if we see a decline in fourth quarter this year, the degree of decline is not going to be that substantial. And in Q2, we revised down our outlook to minus 5% to minus 10%. We revised it down to minus 10% to minus 15% from minus 5% to minus 10%. This was prior to the presidential elections. So that's why, we accounted for this for rental demand as well and revised it down to minus 10% to minus 15%. However, after finishing the third quarter, rental may be in line with assumptions, but for infrastructure and so forth, it's better than expected. It didn't dip as much as we thought it would. So we still believe demand is going to trend negatively, but rental is likely to not change that much for fourth quarter, which means that for the full year, the minus 10% to minus 15% decline is going to be too harsh and severe, so we decided to revise it back up to minus 5% to minus 10%. But the minus trend is unchanged. And for Japan, we also revised the outlook down. We used to say, that demand is going to be flattish. But due to the sales analysis, we presented in Q3, the numbers were pretty bad. For Q4, when you think about whether we could recover back the business, we believe that the negative impact is going to remain and persist. And that is why, we revised down the outlook. And for China, for the foreign companies, when you look at the material for the foreign companies, page-wise that would be on page 20. When you look at the slide bottom right for fiscal 2024 and the previous years are shown here. And you could see that trends have remained low. And when numbers change only by a bit the numbers tend to change in a big way. Demand is in a recovering trend. However, the rebound has been slightly big and that is why we decided to expect positive trends. But the broad trend itself has not really changed in an underlying basis.
Tsubasa Sasaki: Thank you very much. I was able to understand it very well. Thank you.
Operator: From Nomura Securities, Maekawa-san. Go ahead.
Kentaro Maekawa: This is Maekawa from Nomura Securities. Thank you very much for your presentation. My first question is in Asia, mainly on Indonesia perhaps. Demand itself started to see the change of the tide and that's the comment you made before and it started to pick up as you stated. But Q3, your net sales perspective started to see those. So what are the contribution the biggest one? And how should we see the demand as we go forward? If the things are changing for the next fiscal year 2025 and there is some potential for recovery or so, how do you see the Asian market? Could you please focus on the Asia market first?
Kiyoshi Hishinuma: This is Hishinuma speaking. First of all, Southeast Asia, especially on Indonesia. In Q2 financial briefing as I stated, versus what we have seen the more robust performance had been observed. So same goes for Q3 too. However, the big projects and so forth are coming so that's how we're seeing it. So slightly, the project progress I would say or the shipment of net sales started to see a little unbearance, but even with that environment we are under, Indonesia, Southeast Asia, we're not going to the downward trend. That's how we see it. So for Indonesia market, it's expected to be robust as we have seen it and they are more likely to go for a more positive territory. Southeast Asia and other countries after elections, Thailand and other regions and countries are seeing more positive trend. On a three-months trend, year-over-year basis, we haven't observed any of the significant negatives, as conventionally we have seen negative 5% or plus 5%. That's the range we are assuming. For the next fiscal year '25, we are currently vetting what could be the figures. We don't necessarily expect there's significant changes coming.
Kentaro Maekawa: Okay. Thank you. Significant changes are not coming, meaning the recovery trend doesn't have significant impact? Is that what you're saying?
Kiyoshi Hishinuma: Well, the demand units its numbers will not necessarily see huge volatility. That's what I'm saying.
Kentaro Maekawa: Okay. Thank you. So next one, how we should look at the next fiscal year '25 and how we should understand North American market? More than we expected, the Q3 performance was much better and you revised the performance and assumption upward. As for next fiscal year 2025, it's kind of difficult to ascertain the situations around you starting 2025 calendar year, but how should we look at the North American market?
Takeshi Horikoshi: This is Horikoshi speaking. You asked a question on North American market. This time negative range started to back up again. And as Hishinuma already explained, the October announcement was conservative a bit, so we just reversed it. Yes, to be sure, November, December performance order started to pick up again for like the ones in Asia, it started to slack again. That said, in the United States market, December, the tax savings scheme has been utilized to place an order and Europe, America in November they are planning to increase prices so there were last-minute demand was observed. So, after January and beyond, we have to ascertain the potential development. Otherwise, we can't really judge it. For next fiscal year 2025, we can't really be conclusive of what it will look like. But total demand for FY 2025, a new President took office and potential policy could have significant impact. So for time being, we have to test the water of how much range of negatives, positives we might have to suffer from or enjoy from.
Kentaro Maekawa: Okay. Thank you. Second question, pricing. Caterpillar started to see negatives from pricing but FY 2025 there is no significant drop in pricing. That's how I see it. On your part, the selling prices started to contribute positively but progress started to get slower. So, improvement of selling prices in January, as you said, but how would you like to take the policies or measures for selling prices including parts? And as far as you can disclose it, could you please make a comment on that? Thank you.
Takeshi Horikoshi: This is Horikoshi speaking. When we announced it in October, selling prices amount decreased. As I said, the reason was asked. And I said that in the United States, the construction equipment is part of the reason. Yes, to be sure in North American market the competition is very firm for selling prices. And for example, for Caterpillar, in this quarter selling prices hike was negative. On the part of Komatsu, it started to come down. In the case of Caterpillar, 2022, 2023 they jacked up the prices by 10 or some percent, but on the part of Komatsu just 4 or some percent being a moderate. They jacked up prices and bring it down again. But for our case is moderately bring it up, and in moderate cases, we continue moderate trend will continue. That's where we are today. For this fiscal year, looking at the total performance, the selling prices, the range can be secured for this fiscal year, as I said in October announcement. Now FY 2025, as Caterpillar said, selling prices hike started to be very tight. That will be part of the reality we have to face with. But as for a competitor, there are some gap of the selling prices still. So in that sense, there is a potential to improve or increase the selling prices however.
Kentaro Maekawa: Thank you very much. On the pricing, some of the things will remain. Would it be applied to original equipment or spare parts or whether would it be for construction equipment and mining equipment?
Takeshi Horikoshi: Well, for this fiscal year, the biggest chunk is for spare parts, and spare parts is a larger portion than the original equipment. And mining equipment has much larger portion than the construction equipment. And construction equipment, original equipment is the smallest portion. For next fiscal 2025, however, it's more of like a similar trend. But at this point in time, as we are creating working on the business plan, there is no specific comments we can make today. Thank you.
Kentaro Maekawa: Thank you.
Operator: The next question is from Morgan Stanley MUFG Securities, Mr. Ibara.
Yoshinao Ibara: Hello. This is Ibara from Morgan Stanley. Can you hear me?
Takeshi Horikoshi: Yes.
Yoshinao Ibara: My first question is about for the Construction, Mining & Utility Equipment segment, on a cumulative basis, when you compare Q3 and Q4, sales went down slightly and profits increased. And I think it goes back to the mix answer. Q-on-Q, I think I recall that you had walked us through the details in Q3. So if you can do that again that would be great? And as we head towards the fourth quarter, can you also share with us your view? Earlier you were talking about some push-outs for both construction and mining. So, if that all comes through in Q4 when you do the math the numbers for Q4 look a little low. So can you share your views on this? So can you walk us through the Q-on-Q trends from Q2 going into Q3 and then Q3 going into Q4?
Takeshi Horikoshi: This is Horikoshi speaking. Exactly to your point talking about the cumulative results up until Q2 the mix impact was quite substantial and I talked about this in answering Sasaki-san's question. ¥21.9 billion was the mix impact. And other than that it was ¥6.7 billion negative which was a total of negative ¥28 billion. And for cumulative Q3 ¥16.2 billion and ¥7.5 billion it contracted. So for Q3 because Southeast Asia performed well or Indonesia, the gains increased from that factor. For the fourth quarter what we currently assume is to be broadly in line with October outlook. It's just the FX impact that will add on to profits. Up until third quarter there was a sales shortfall by approximately ¥47 billion. At the end of the full year, we expect about ¥46 billion of a shortfall compared to expectations. However, I talked about earlier the pushouts we saw in Q3. For mining especially we're expecting a realization of the pushouts. So even with the shortfall of ¥46 billion for construction equipment it should deteriorate more. But for mining we should see performance better. So around ¥11 billion would be the net number between construction and mining. So that impact on mix apart from FX should be a positive factor.
Yoshinao Ibara: Thank you very much. One more question is about where we show the BB ratio that's on page 35. For Komatsu America, it seems -- well it's the book-to-bill ratio. So of course it's in relationship to shipments. Three months ago Horikoshi-san you were saying that if orders aren't that great it will affect shipments for next fiscal year. But overall for CapEx of customers who buy dump trucks goes back to Ogawa-san's remark, but does this happen to be the case where the ratio is not that great? Or are these trends likely to affect next year's shipments?
Takeshi Horikoshi: To your point for the super-large EDTs electric dump trucks, the order backlog this fiscal year is gradually falling. So when you just look at this part for next fiscal year there is a question mark around how things are going to be. However, overall on a macro basis as we always say for the mining majors they're CapEx continuous to – they are saying that they're going to continue to increase CapEx steadily so that is not a concern.
Yoshinao Ibara: So basically because it's a large-sized product the order timing comes in bulks. So I guess there are no major changes in trend?
Takeshi Horikoshi: Correct. Earlier it was explained but for large-sized equipment customers changing spec or the assemblies take place locally before shipments and there are some delays that occur. And that impact is quite substantial. So we're not expecting a huge decline due to sudden changes.
Yoshinao Ibara: Thank you very much.
Operator: Thank you. I'll take another question, Nikkei Newspaper, Kita-san. Go ahead.
Unidentified Analyst: Thank you. This is from Kezi from Nikkei Newspaper.
Operator: [indiscernible] Yes. Please go ahead. Thank you.
Unidentified Analyst: Thank you very much for your presentation. I have two questions. Number one, this time semiconductor-related demand, industrial machinery & others are pushing up in their profits. And could you please explain the reasons? And what would it look like for the future? That's my first question. Thank you.
Operator: Sorry, could you please repeat the questions, again? I couldn't really pick that up that all.
Unidentified Analyst: Well. Industrial Machinery & Others segment.
Operator: Yeah.
Unidentified Analyst: This time for automotive and semiconductor both segments increased. Could you please trend behind it? And what would it look like in the future?
Takeshi Horikoshi: Yes. As for Automotive segment, Komatsu NTC, Komatsu Industries and we have two companies related to that. FY 2023, in the first place, automotive investment faced a plateau. Then as we went into 2024 that started to appear. That's one thing. And out of two companies, the one company called NTC. That they are producing engines and so forth. Automotive battery on EVs, and it’s the production equipment is one of the area they focus. And they've been successful for transforming its business. So this is a company for Automotive Segment. And they are growing with those reasons. Now for Semiconductor sector, Gigaphoton is another company and we have in Komatsu Group the deal with that semiconductor. Excimer laser source was created and produced in this company. The semiconductor sector is so global and doing very well especially for aftersales which are growing very much. On the part of Gigaphoton, as we go forward, net sales are expected to grow further. And actually in Tandem Investment, we made investment and production capacities, increased by 2.5 times. So that we can be ready and embrace ourselves for the future growth.
Unidentified Analyst: Okay. Thank you. On Gigaphoton, you increased it by 2.5 times of the production capacity. By when would you like to increase the net sales of how much? Could you please disclose this information?
Takeshi Horikoshi: Sorry. I don't necessarily have that figures at my fingertips but 2030, JPY100 billion and market share of 60% and OP 25% margin. That's the target.
Unidentified Analyst: Okay. Thank you. Great. My second question, this time construction equipment, mining equipment & utility and the production costs are all increasing. Could you please talk about the factors behind it?
Takeshi Horikoshi: Well, as you see the page 10, the production costs increased by JPY16.2 billion, because of the steel prices, which has started to increase, because by Q2 it went up a lot and rubber used in tire, it started to increase too. And partner companies the labor costs started to increase. And we need to reflect that into our planning of the cost so the cost significant increase. But the steel price, tire being rubber, those commodity prices started to edge down a little bit in Q3. So further, as we look at the Q3 standalone basis then this production cost started to be positively contributing to our performance. However, as for fixed cost starting 2017 to 2021, fixed cost had been flattish regardless of its net sales. But starting FY 2022, deliberately, we increased the fixed cost because of two reasons. Number one, each country inflation rate has significant -- has been significant. And the electrification and automation of the future are something we need to be ready. So R&D in midterm is a source of investment so that we can be ready for the potential future. So that's why that's all pushed up our fixed cost.
Unidentified Analyst: Thank you. Sorry, if you disclose it, but industrial machinery and others, automotive and semiconductor, do you have a breakdown or mix of net sales basis, if you have it?
Takeshi Horikoshi: Well, if you look at the Page 12, Komatsu Industries, Komatsu NTC, you see the net sales. Oh, sorry, apologies. This is respectively for automotive and semiconductor. And Gigaphoton is especially for semiconductor. And there is a calc, the company, JPY 13 billion of the sales per annum.
Unidentified Analyst: Okay. Thank you. Great. Thank you very much.
Operator: Thank you. We are running out of time. There are two people with their hands up. So can you keep your questions to one each. Thank you. Next person is Mr. McDonald from Citigroup Securities.
Graeme McDonald: Can you hear me?
Operator: Yes. Please go ahead.
Graeme McDonald: So I'll ask one question. For Asia, trends in Asia, originally for this fiscal year, JPY 484.5 billion was the sales expectation that you projected several months ago. But according to what you said, Indonesia and other regions may exceed expectations. If that's the case, up until now, you will be reaching levels that are unprecedented. It might be record highs. From an economic cycle point of view, I believe that Asia is going to be good for a while. However, you -- the Chinese manufacturers, there are some concerns that they will continue to be a threat. But for sales in Asia for both construction and mining equipment combined, are you concerned that there may be a slowdown? Because I think that risk conditions may last, but what are your view -- what is your view?
Takeshi Horikoshi: That is a difficult question. Like I mentioned earlier the impact from Mr. Trump will probably materialize. And for this fiscal year, Q3 was really good for Indonesia, as we said. The reason is because of coal or mining equipment. The demand for coal in the country was good and China's imports were high as well. So coal production reached record highs, and that is why Indonesia was good. On the other hand, for agriculture and food estate projects have been delayed, leading to lower demand. And for forestry, on the Sumatra Island, the reconstruction efforts the forests did not develop and grow as much, which led to demand. So for Indonesia, right now, it's just mining that's performing well. As for Thailand, the budget execution up until October was a question mark, but now we've been seeing more progress. So compared to the plan, it's been performing better. And for Malaysia, we were thinking that the projects will not develop, but actually conditions improved. So that is why compared to the October plan, we are seeing some bright signs. However, whether this is going to last forever is a question mark. And also the advancement of Chinese manufacturers, as you always ask, the Chinese market itself has been weak, and that is why the OEMs have been proactive. From an Indonesia point of view, their market share has already saturated somewhat, meaning the Chinese OEMs, so there's a question mark around what's going to happen in the future. So a sudden increase in market share is not expected like what happened in the past. We believe, even if it happens, it's going to be moderate.
Graeme McDonald: So, in other words, non-mining in Indonesia for construction equipment and forestry, if it's weak right now, is it going to improve? And for Malaysia, where there's momentum, it might go up even forward? And I do believe you can expect more from India. So, if Chinese competition is not going to change in their behavior, I expect that Southeast Asia is going to continue to be strong and that will lead to higher margins, won't it?
Takeshi Horikoshi: Well, the growth rates of Southeast Asia on a global basis relative to other regions, is extremely high and infrastructure development will probably progress as well. Compared to other parts of the world, we do expect higher growth rates. We view Asia as a strategic region. We have been doing so in the past. And also, we also expect Africa to grow as well. Therefore, we are focusing on the region. For Southeast Asia, we believe, the overall contribution is likely to increase. Thank you.
Graeme McDonald: Thank you.
Operator: I would like to take up the final question. From Goldman Sachs, I'd like to take a question from Adachi-san.
Takeru Adachi: Thank you. This is Adachi from Goldman Sachs Securities. Do you hear me speak?
Takeshi Horikoshi: Yes. Please go ahead.
Takeru Adachi: Just a final question. In North American market, mining equipment on estimated basis in North American market, the positive growth on a year-on-year basis that's very likely to be. And obviously, yes, that's been contributed by FX but still in North America market versus a major competitor, it looks good. So maybe there's some variance of clients and some efforts that you're making have been contributing and maybe the service and spare parts are contributing a lot. Could you please give us a breakdown of these details? Thank you.
Takeshi Horikoshi: Yes. Especially in comparison versus Caterpillar, I guess, we are directly selling sales and they have distributors of mining. And North American sales and in the first place, half of which is coming from America, so that dropped significantly. The reason being that USD1.3 billion of inventory from distributors that was down. So we don't necessarily have that the middle ones. The end users has and will be significantly contributing to our performance in our case and there is a significant gap between those two in that sense. Now, looking at the fiscal year 2024, as I touched a bit, according to projects there are some volatility. But in North America, original equipment has great contribution for fiscal year 2024 Q3 nine months year-to-date.
Takeru Adachi: Thank you. Q2 to Q3, it seems like there is an improvement by notch. Why is it? Can you justify it, because of the change of the administration with President Trump or new projects coming in because of that?
A – Unidentified Company Representative: Well, are you talking about actual performance?
Takeru Adachi: Yes, from Q2 to Q3.
A – Unidentified Company Representative: Yes such a deal were executed. Well, because of the President Trump taking office that has nothing to do with the new administration led by President Trump. Thank you.
Takeru Adachi: Thank you.
Operator: Thank you. We'll expand briefing and we will also have a Q&A session. We look forward to your attendance. That concludes Komatsu's fiscal 2024 Q3 results briefing. Thank you for joining.